Operator: Welcome to The Brink’s Company’s Third Quarter 2015 Earnings Call. Brink’s issued a press release on third quarter results this is morning. The company also filed an 8-K that includes the release and the slides that will be used in today’s call. For those of you listening by phone, the release and slides are available on the company’s website at brinks.com. At this time, all participants are in a listen-only mode. A question-and- answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Now, for the company’s Safe Harbor statements, this call and the Q&A session contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences is available in today’s press release, investor presentation and in the company’s most recent SEC filings. Information presented and discussed on this call is representative as of today only. Brink’s assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink’s. It is now my pleasure to introduce your host, Ed Cunningham, Vice President of Investor Relations and Corporate Communications. Mr. Cunningham, you may begin.
Ed Cunningham: Thank you, Drew. Good morning everyone. Joining me today are CEO, Tom Schievelbein; and CFO, Joe Dziedzic. Before we get started I want to remind everyone that we report results on both the GAAP and non-GAAP basis. The non-GAAP results exclude Venezuelan results, U.S. retirement expenses, Mexico settlement losses, reorganization and restructuring charges, certain compensation and employee benefit items, acquisitions, dispositions and some currency-related items. We believe the non-GAAP results make it easier for investors to assess operating performance between periods. So our comments today including those referring to our guidance will focus primarily on non-GAAP results. A summary of reconciliation of non-GAAP to GAAP results is provided on Page 2 of the release. More detailed reconciliations are provided in the release and the appendix of the slides we’re using today and in our website. Finally, Page 8 of the press release provides a summary of several outlook items including guidance on revenue, operating profit and earnings per share. With that, I will turn the call over to Tom.
Thomas Schievelbein: Thanks Ed. Good morning, everyone. Before covering our third quarter results, I’ll start by thanking those of you who took the time to attend our Investor Day meeting on October 6. For those who did not attend or listen in on the webcast, a replay of the presentation and our question-and-answer session that followed is available on our website at Brinks.com. At that meeting we provided lots of information on our strategy to improve our overall performance, so my comments today will be relatively brief. Third quarter earnings from continuing operations came in at $0.37 a share, well above the $0.12 we reported in last year’s third quarter. Primary drivers of the improved results included substantial reduction in corporate expenses, due to improved security performance and our ongoing cost reduction efforts. We also saw higher profits in Argentina, Mexico and Chile. Total revenue declined 13%, but was up 3% on an organic basis. Now, as most of you know, negative currency translation has been affecting our results for the last three-plus years. And it’s gotten progressively worse in the recent quarters. Its impact on this year’s third quarter result was particularly severe, reducing our revenue by $136 million, operating profit by $17 million and earnings by $0.20 a share. We delivered strong earnings growth for the quarter despite those currency headwinds and disappointing results in the U.S. Our overall guidance for 2015 and 2016 has not changed from the guidance that we provided at Investor Day. At our meeting on October 6, we said results in the U.S. would be lower than expected due mainly to continued labor cost increases related to improving our service quality. We have improved our service levels and we’re now focused on driving a significant reduction in labor costs. The benefits of which we expect to begin seeing with our fourth quarter results. Our U.S. fleet maintenance expenses were also significantly higher in the third quarter. We implemented a centralized, outsourced vehicle repair and maintenance program to improve our overall fleet availability and reduce our cost over time. We should realize cost savings from this initiative during the fourth quarter and into 2016. Our U.S. results in the fourth quarter and throughout 2016 should also benefit from the ongoing rollout of lighter vehicles and our transition to using more one-man crews which are expected to drive additional cost reductions related to fuel, labor and maintenance. Our rollout of lighter vehicles is ahead of schedule. We have 90 of these lighter trucks used today and we expect to have a total of a 140 deployed by the end of 2015. Our current target for 2016 is to have at least 300 trucks deployed. In addition to these initiatives and consistent with our stated strategy, we are continuing to streamline our operating structure in the U.S. by eliminating a layer of management. Going forward, a flatter organization should move us closer to customers, speed up decision making and improve our overall service quality and efficiency. We are also changing the compensation structure for key operational leaders including our branch managers. The new structure more closely aligns variable compensation to branch-specific margin metrics including branch margin and our other performance measures of quality and efficiency. While we’re - while we’ve reduced our 2015 U.S. margin guidance from 4% to a range of between 3% and 4%, we believe we will deliver sequential profit improvement in the fourth quarter and our 2016 margin target for the U.S. remains at 6%. So all-in-all, our third quarter and year-to-date results are in line with the guidance we provided earlier this month for 2015 and 2016. We still expect that continued profit growth in Argentina and Mexico, and our ongoing cost reduction efforts, will enable us to achieve our full year 2015 earnings guidance of $1.40 to $1.50 per share on revenue of about $3 billion. For 2016, we continue to expect earnings of $2 to $2.20 per share on a similar revenue base of about $3 billion. I think it’s important to point out the strong progress we’re making at the operational level. In 2015, despite currency headwinds we still expect to grow year-over-year operating profit by more than $25 million, reflecting a margin increase of at least 130 basis points. Excluding an expected currency impact of $50 million, this equates to year-over-year organic profit growth of $75 million to $85 million. For 2016, we expect a profit rebound in the U.S. continued organic growth in Argentina and Mexico and an additional $25 million to $35 million in cost savings to drive another $50 million to $60 million of year-over-year profit growth, reflecting an operating margin in the 7% range. Excluding an expected currency impact of $25 million, this equates to another $75 million to $85 million of organic profit growth in 2016. And when you look at our outlook from the EPS level, you can see that we expect about a $1 per share improvement in earnings from operations this year and in 2016. Even with the expected currency headwinds, this would result in year-over-year earnings increases of about 40% or more in both 2015 and 2016. Now, we fully understand that currency fluctuations are a fact of life for more financial companies like Brink’s, but I did want to make it clear that we’ve made real progress with the operational level this year and we expect similar progress in 2016. So in a moment Joe will provide additional details on our results and the assumptions behind our guidance. Before I turn it over to him, I want to briefly summarize our strategy, which is to expand high value service offerings, to drive efficiency and to change our culture. We are working to provide more services throughout our customer cash supply chains, while driving productivity and efficiency gains throughout our entire company. The key to the success of the strategy is driving our culture to one that demands accountability, customer focus and trust at all levels. Successful execution of this strategy is critical to overcoming the challenges we face in the U.S. and sustaining the improvements we’re making in Mexico, France and throughout our global markets. Improving our results in the U.S. is clearly our greatest challenge, or it’s also our greatest opportunity to create shareholder value and we expect U.S. to be a significant contributor to the substantial profit growth, we expect in 2016. In closing, I want to assure you that our team is totally committed to driving increased value for our shareholders. We have an unmatched global footprint, strong positions in our key markets and the best brand in the industry. In most of the 40 countries in which we operate, we’re performing very well. The obvious exceptions are the U.S. and Mexico, where we expect near term margin growth and longer term gains to drive substantial value creation for all of our shareholders. With that, I’m going to turn it over to Joe, who’ll provide the details behind our results and our outlook. Joe?
Joseph Dziedzic: Thanks, Tom. Good morning, everyone. I’ll start with the summary of our quarterly results using the same format we’ve used in prior quarters. Then I’ll review segment results and finish with some comments on our outlook for the rest of the year. Our reported revenue for the quarter declined 13% as a negative currency impact of $136 million was only slightly offset by organic growth of $27 million. The currency impact was about 45 million from the Brazilian real, 25 million from the euro, and about 21 million from the Mexican peso. The organic growth came primarily from inflation driven growth in Argentina and retail market growth in Mexico. Operating profit grew from $21 million to $37 million, as the margin rate doubled from 2.5% to 5%. Profit grew organically by $34 million, driven by $22 million reduction in corporate expenses, strong revenue growth in Argentina and improvements in both Mexico and Chile. The $22 million reduction in corporate expense is the result of lower theft losses, as there was no repeat of last year’s $10 million loss in Chile, and lower SG&A costs from the restructuring and reorganization implemented in late 2014. The growth in Argentina was primarily inflation driven, but we did see some volume increases. The team in Argentina continues to manage very well, and an economy experiencing significant inflation. Mexico continues to show improvement in line with our guidance. The profit impact of currency during the quarter was an unfavorable $70 million from the stronger U.S. dollar. The reorganization and restructuring that we announced that in December 2014 was a major contributor to the profit improvement and we are on track to deliver the $50 million of year-over-year savings that we originally targeted. The EPS bridge highlights the $0.45 organic improvement that was driven primarily by operating profit growth, despite the currency headwinds, we still grew EPS by $0.25 compared to last year. The next few slides provide an overview of the five largest countries and global markets. As Tom noted, it was a disappointing quarter for our U.S. operations. Revenue rose 1%, which was in line with our expectations. The profits fell versus last year, and sequentially versus the second quarter of this year. The profit decline in the U.S. is the result of higher labor costs that were incurred to improve service levels, higher fleet maintenance costs and higher safety and security costs. U.S. management team is working to reduce labor costs, while maintaining the current service levels and delivering on the targeted efficiencies by making both organizational and process changes. Tom mentioned the delayering of the U.S. operations management structure, which will create a structure that provides improved support to our branch operations and therefore our customers. In Mexico, profits improved versus last year on 6% organic revenue growth. We grew beyond the volume losses from late 2013, early 2014, and the gains we made in the retail segment are reflected in the improving organic revenue growth. The aggressive cost actions we took after the customer losses have begun to show benefits on a year-over-year basis. With the margin rate of 6.3% for the first nine months of 2015, we expect Mexico to achieve its full-year target range of 6% to 8% as the fourth quarter is historically our strongest quarter in Mexico. We’re on track to achieve our target of 10% margin in 2016. France, Brazil and Canada round out our five largest markets and represent additional opportunities for improvement. On a combined basis these countries had 1% organic revenue growth in the third quarter and a strong margin rate of about 10%. Profits in France fell due to strong currency headwinds. While 2015 continues to be a challenging year on the top line. France has been able to deliver solid margins, thanks to ongoing cost controls. The third quarter is typically our best in France as reflected in a 12.4% margin rate that was roughly in line with the year ago quarter. In addition to reducing our cost, we’re repositioning this business to pursue higher margin solutions within the cash supply chains of our customers. And we expect to see the benefits of these efforts in 2016. Brazil’s revenue increased 4% on an organic basis which is consistent with the past four quarters. It is clear that volumes have slowed in Brazil and that we are facing a more typical macro-environment. Despite the slower growth, we expect a strong fourth quarter due to retroactive price increases and seasonal volume increases that will enable us to maintain our high single-digit margins in Brazil. Brazil continues to be a very challenging market and we’re taking additional cost actions to improve profitability in 2016. Profits in Canada were a solid 9.5% of revenue and we’re roughly flat against year-ago levels despite slight revenue decline and higher pension cost. Despite the negative impact of the strong dollar, the steady performance of our global market segment continued into the third quarter. The combined operating margin rate of the 35 countries that comprise this segment was 14%, up 200 basis points over the year ago quarter. The Latin America region delivered 17% organic revenue growth and solid margin growth, almost entirely due to Argentina. Results in Chile also improved due mainly to recent restructuring actions, but lower profits in Columbia largely offset these improvements. The EMEA region delivered lower but still solid margins of 8.4% as revenue declined from both currency and lower volumes. The organic revenue decline in Germany was expected as we exited a guarding contract last year. Asia continues to perform well on all fronts. Year-to-date cash flow from operating activities on a non-GAAP basis declined by $48 million. Last year’s cash flow was unusually strong due to the inclusion of Venezuela results being reported at a more favorable exchange rate. Cash flow in 2015 was reduced by severance payments related to our reorganization and restructuring actions. Capital expenditures and capital leases were down $18 million versus last year on decreased spend across all segments. We spent less on IT, primarily to finance shared services implementation, as well as less on facilities and other equipment. The transition to operating leases in the U.S. for CompuSafe also helped. Net debt increased by $15 million from the end of 2014, due primarily to the impact of the strengthened U.S. dollar, partially offset by cash flows from operating activities that were slightly higher than CapEx spending and dividends paid. I’ll close by covering our outlook for 2015 and 2016. Last year, our full-year EPS was $1 and $0.01 with $0.58 being generated in the fourth quarter. Obviously, the fourth quarter last year was very strong as we benefited from the higher BGS volumes due to several macro-events and improved results in Brazil. We expect $0.36 to $0.46 of EPS in the fourth quarter of this year. In the first three quarters of this year, we’ve already delivered $1.01 EPS improvement from operations versus last year. Given the strength of last year’s fourth quarter and the weak macro environment in Brazil, we expect only a slight improvement in operations over last year’s extremely strong results. Currency impact of the first three quarters was $0.40 unfavorable and we’re estimating another $0.20 of negative impact in the fourth quarter based on the current exchange rates. This slide summarizes our outlook for 2015 and 2016 for revenue, operating profit and EPS. We provided details on the 2016 outlook during our recent Investor Day and the first slide in appendix, Slide #24, includes the same assumptions for 2016. We believe one of the key benefits of investing in Brink’s is our global footprint that allows us to capitalize on the growth opportunities in less developed countries and creates the network for our global services business to serve our customers better than any of our competitors. With this footprint comes the volatility of foreign currencies. Despite the unfavorable impact of foreign exchange, we’ve taken actions to increase EPS by $0.40 to $0.50 in 2015 and expect to increase by another $0.60 to $0.70 in 2016. When the U.S. dollar moves in our favor, it will add some tailwind for this improving trend. That concludes my comments this morning. Drew, let’s open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instruction] The first question comes from Ashish Sinha of Gabelli. Please go ahead.
Ashish Sinha: Hi. This is Ashish from Gabelli. Thanks for taking my questions, I had a few starting with the U.S. margins. If I look at your full-year guidance that implies fourth quarter margins could range, anywhere between 3% to 7%, which is a wide range and which kind of suggests that there are quite a lot of moving parts. So maybe if you could talk about, what are some of those moving parts, which could cause fourth quarter margins to end up in either of those extremes? My second question is on the organic growth in EMEA and broader LatAm, excluding Mexico and Brazil. And if you could talk about price and volume trends in some of the key countries there and what’s happening to your market share? And lastly, the 2015 reorg and restructuring, which you kind of mentioned in the press release…
Thomas Schievelbein: Hello.
Operator: I’m sorry. There was an interruption. His line had disconnected. I’m not sure if you would like to…
Joseph Dziedzic: And we go to the next call.
Operator: Next question?
Thomas Schievelbein: Let’s get back in.
Operator: Very good. The next question is from Jamie Clement from Macquarie Securities Group. Please go ahead.
James Clement: Hey, gentlemen, good morning.
Thomas Schievelbein: Good morning, Jamie.
James Clement: So I - compared to guidance in commentary 3.5 weeks ago. Did I notice there was an extra potential $10 million of cost savings in here for 2016? I thought the number had been a firm $25 million. Now, I think I see $25 million to $35 million, am I right about that?
Thomas Schievelbein: You are.
James Clement: Are those actions, you ran through a bunch of them with respect to the fleet and that kind of thing. Are those - have those already been planned in the flow through in terms of quarterly results next year or just kind of function of. For example, getting those trucks deployed or is there a significant heavy lifting that you all need to do to actually realize those?
Thomas Schievelbein: Yes. I’m going to let Joe take details of the question.
Joseph Dziedzic: Jamie, the $25 million to $35 million - so first the investor day we had line of sights of the $25 million, so we think that into our guidance as we gone through the continued planning process to identify specific actions we come up with another opportunity of 0 to 10. So we’re giving a range of $25 million to $35 million most of the actions to achieve those savings would happen in the fourth quarter. Some will spill into the first quarter, they do not include things like the 1% vehicle, I think you’re referring to or some of the continuous process improvement. Most of the actions to generate the $25 million to $35 million relate to the structural changes, organization changes or headcount coming out of the business. So we would expect to be able to tighten that up as we get into the first quarter and finalize all the actions necessary.
James Clement: Joe, a follow-up there, is then - I mean, it’s hard for me to - I don’t know if you’re just are baking this into your U.S. margin assumptions for next year or what. Basically, look, to the extent that you get those - the lighter trucks on the road, presumably, you got better mileage there for those things, potentially lower maintenance cost overtime. I mean, so are those kinds of savings included in this $25 million to $35 million? Or - the answer you just gave, or is that actually potentially on top of this $25 million to $35 million?
Joseph Dziedzic: Those are the actions - those are some of the actions necessary to achieve 6% in 2016 and to continue to improve beyond that. The $25 million to $35 million are very specific headcount and organizational changes. I would not think of the $25 million to $35 million as continuous process improvement or big changes.
James Clement: Got it. But, yes…
Thomas Schievelbein: It’s important to note that the lighter vehicles do have an impact in terms of, obviously, the labor cost, but they will obviously be new. That will produce the overall age of the fleet and with it comes some substantial improvements in that maintenance profile. So, it’s critical that we get those and we get them in, but that’s not part of that point.
James Clement: Yes. No, that’s why I was asking, because it seem like a big opportunity. Now, getting to just comments about the rest of the year also with guidance 3.5 weeks ago with respect to the U.S. was about 4%. Now, 3% to 4%. I don’t know if that’s just semantics and you’re just trying to be extra clear or did something actually - did something deteriorate over the last 3.5 weeks that we need to be aware of?
Thomas Schievelbein: Well, I don’t think anything deteriorated. I think it’s - we looked at, we were a little bit surprised by the magnitudes on the maintenance cost and a couple of other default. [ph] We’re still pushing, obviously, to get to the higher-end. But I think it’s only reasonable to say that there is some heavy lifting that goes with that and that’s why we use 3% to 4%, to make sure that everybody understood the range where it could come out.
James Clement: Totally understood. Let me - I’ll get back in the queue and let other people ask some questions. But thank you very much.
Operator: [Operator Instructions] the next question comes from Jeff Kessler of Imperial Capital. Please go ahead.
Jeff Kessler: Thank you for taking my call.
Thomas Schievelbein: Hey, Jeff.
Jeff Kessler: Can you - hi, guys. Can you explain how the increased spending in service costs and other costs in the fourth quarter going into the U.S. are going to translate into better margins and hopefully some better revenues in 2016? Because, obviously, you are taking - some of the weight on the margin in the fourth quarter in the U.S. is coming out of some of these increased spending you’re making on the service side. I want to know how that’s - more specifically how that’s going to translate into more efficient better margins for next year?
Joseph Dziedzic: So, let me start with giving little characterization for why we had increased some of the spending to improve service levels. That, in the fourth quarter last year we brought on some new business. You saw that in our very strong revenue growth in the fourth quarter in the U.S. of 7%. In the first quarter, we continued to bring on more business. And then, in the first-half we had some business transition away. The business we brought on was in largely a different line of business, in a different geography, than the business that went away. The business that we brought on, we did not put enough resources in place to manage that as it was ramping up. And in the second quarter and in the third quarter we had to make some investments in resources and processes to handle that volume and get it back to the service levels that both we and our customers expect. We largely have gotten ourselves back to the service levels that are acceptable to us and our customers. We’re back within our - largely within our SLA commitments. And so, now what we need to do is, we need to become more efficient in those processes and lean out through continuous process improvements in some of those resources. So, the increased spending was to address very specific service levels. We’ve done that. We made some investments in transitioning to an outsourced vehicle fleet maintenance company. That’s their core competency. We believe they ultimately overtime will be better at maintaining our fleet than we will. That required us to put some extra money into the third quarter into the fleet to improve availability of the fleet. The uptime in the fleet improved. We saw that in our performance and the availability. And now we need to lean some of that cost out going into the fourth quarter and next year. So, we expect the spending levels, they have gotten us back to service levels that are acceptable. Now, it’s about leaning it out, leaning the cost down in continuous improvement going forward. The volume growth opportunities we have arguably are independent of the investments that we made. Mike Beech talked a lot about some of the projects that we’re working with customers, the discoveries we were doing to identify growth in the U.S. We feel good about that and the service levels that we have we think support that growth.
Jeff Kessler: Okay. Second question is how was the performance of global services in the quarter and can you do anything to integrate some more of your at least, whatever, on the ground business and, well, cloudy is what I call, slightly less valuable business in terms of the valuables you’re taking. Can you do more to integrate that into the global services business? Global service is taking on a little more volume from your ground based business.
Thomas Schievelbein: So, I mean, BGS had a great quarter and they’re on track for what we anticipate they will be doing for the year. We are - BGS basically takes advantage of our footprint around the world. And so they utilize those ground operations. That’s one of the reasons why we’re successful in the BGS business. So, having BGS take on more - just kind of moves the cost from one account to another, Jeff. So I don’t think that that’s going to - could have a meaningful impact on our overall profitability.
Jeff Kessler: Okay. I realize that that BGS is a lot larger than its competition. But the competition has consolidated a little bit into some of your competition. Are you seeing any impact from that in the global market at this point? Or are you - is your size and scale big enough to offset some of the pressures that we might be seeing from smaller operators getting eaten up or bough up by some of your major competitors?
Thomas Schievelbein: So I think that in specific markets you always see impacts from competitors or situations. That is dwarfed by the overall macro situation of where diamonds and jewelry that overall market is, by where the commodities markets are for precious metals, and for bank notes. So, yes, we’re seeing some of - you obviously see issues in any particular market, but the macroeconomics are driving more than the individual circumstances of a particular country.
Jeff Kessler: Okay. Thank you very much.
Operator: And we have Ashish Sinha from Gabelli. Please go ahead.
Ashish Sinha: Hi, sorry. I got cut off. Am I - can you hear me now?
Thomas Schievelbein: Yes.
Ashish Sinha: Great. I had three questions on the EMEA and LatAm organic growth. I mean, if you could talk about some of the markets in terms of what’s going on with volumes and price? And specifically LatAm, of the 17% organic how much was price and how much was volumes? And could you also talk about your market shares, what’s happening actually with your market shares? And then secondly, could you give an update on CompuSafe in terms of any progress on that? And lastly, a question on Forex, and if I look at the LatAm Forex and especially the peso which is down - Argentinean peso, which is down 10% year-to-date, are you assuming it stays at current levels in your $3 billion revenue assumption for 2015 and 2016 or are you assuming further devaluation? Thank you.
Thomas Schievelbein: Okay. Let me touch the CompuSafe question first and I’m going to let Joe talk about the details of LatAm and EMEA. So, we continue to be happy with our CompuSafe. We continue to have that be one of our new solutions for customers, not only in the U.S., but in a variety of other countries. But primarily in Mike Beech’s focus five markets, largest markets. So, we continue to be positive about CompuSafe and it continues to grow. With that, Joe, I’m going to let you talk about LatAm and foreign exchange.
Joseph Dziedzic: Sure. All right. So, let’s - I’ll start with EMEA. So, the EMEA revenues last year were $139 million this year $112 million, so down $28 million. That was $11 million of organic, $17 million of currency. So, currency, the Euro largely was a big impact. I’ll talk for a second. The $11 million organic decline was concentrated really three places: Germany, Ireland and Greece. In Germany, we had a guarding contract with the U.S. embassy that we intentionally exited last year. So that’s the biggest driver of the German revenue reduction. Ireland has been a difficult market for us as of late. There has been some volume that shifted away from us. That’s just been a tough environment. And Greece just continues to be a difficult environment and we haven’t seen any opportunity to mitigate that. So we’ve done a good job in Greece of maintaining profitability. The management team there has been able to take actions to preserve the profit. In Germany, the guarding contract profit impact was very much as expected. So, that covers the Europe revenue decline. Latin America, if we look at the Latin America region growth, we had 70% organic growth that was $60 million. And that was entirely Argentina. And in Argentina you have a couple dynamics. The inflation continues to be 30% to 35%. We have been able to pass that through to our customers and have our customer or competitors as well. We have seen wage increases at a similar rate. We also have benefited from a volume standpoint with the additional currency in circulation, because the amount of pesos in circulation continues to increase, so the amount that we are counting and processing and our money processing operations is growing. And the lower on pricing on the value of pesos, the quantity of pesos, is driving our revenue up quite significantly. Our Argentina organic growth in local currency is in the 50% to 60% year-over-year range. So, we’re growing local currency 50% to 60% in Argentina. In the rest of the LatAm region, we did experience some good growth in Chile. The management team there has implemented a number of different restructuring actions over the past 2.5 years. We’re seeing that translate into both profit improvement and organic growth. Unfortunately, that’s being offset by some declines that we are experiencing in Columbia and both on the top line and on the profitability. So, that’s a summary for the Latin America. I think, Ashish, your last question was regarding our assumptions around the Argentine peso.
Ashish Sinha: Yes.
Joseph Dziedzic: So, it’s about 9.5 pesos to the dollar at the end of the third quarter. We are assuming that it deteriorates or devalues to about 11 pesos by the end of this year. So we just have kind of a gradual decline in the fourth quarter. And then we’re expecting it to devalue very sharply early in the year and to 15 pesos of the dollar by the end of next year. So for 2016, we’re assuming somewhere in the neighborhood of 14 pesos is the average for the full year. That’s our assumption. I know we’ll be wrong, but all indicators are that there is a devaluation coming after the run-off elections later in November. We’ll keep you updated as our assumptions change.
Ashish Sinha: That’s very helpful, thank you. Could you also talk about the market share, any significant changes to flag there?
Joseph Dziedzic: We compete in a very competitive environment and there is always some movement back and forth in each of our markets.
Ashish Sinha: Thank you.
Operator: And we have a follow-up from Jamie Clement from Macquarie Securities Group. Please go ahead.
James Clement: Hi, thank you for taking my follow-up. Joe, hi, are we to assume that Canada is still ranked number five from a quarterly revenue production standpoint or are we looking at this on a trailing 12 month basis with Canada in the top five?
Joseph Dziedzic: So, Canada will continue to be reported in our top five. I think it’s your question Argentina is about the same revenue size as Canada today, if that’s correct.
James Clement: Okay. Got it. Got it. Okay. And then a question I definitely wanted to have the opportunity to ask, it’s been a long, long, long time since you guys, probably fielded this question on earnings conference calls. To the extent that the fed starts lifting rates, I would assume that higher rates mean more money in deposit accounts and that would theoretically help your business. So if you all kind of look back at the history of Brink’s, first of all, A, is that accurate? And then, B, do you have to get really deep into a tightening cycle, let’s say 200, 300 basis points higher from the fed to really start to see an impact? Or is it more of a linear where, hey, 50 basis points will actually help your business?
Thomas Schievelbein: From a macro perspective with at least what I anticipate the fed will do, I don’t think we’re going to see any significant changes now. 200 or 300 basis points, that could make a difference. 25 or 50, I don’t believe so. Joe…?
Joseph Dziedzic: It’s been so long since rates were going the direction. I welcome that and think over time it will help. But in the short-term I don’t see a dramatic change.
James Clement: Figured I would ask. Thank you all very much for your time as always.
Joseph Dziedzic: Good question.
Operator: And we have a follow-up from Jeff Kessler from Imperial Capital. Please go ahead.
Jeff Kessler: Yes. Just a quick question about Argentina. I don’t want to focus on just one country, but the growth there in organic sense has been quite good. You had a very strong competitor down there for years. It’s the same competitor that you face probably in other parts of Latin America. Why have all the sudden you’ve been able to grow as well as you have? It has to be taking market share away from your competitor in Argentina. So the question is, how you’ve been so - how has your business become so strong down there? Is it just something that is changed?
Joseph Dziedzic: We’ve historically been, I think performed very well in Argentina. Our profitability both measured by margin rate and the nominal local pesos has improved much, much more significantly and dramatically. I would characterize it as to management team has done a very good job of managing in a highly inflationary environment. It’s not a highly inflationary from an accounting standpoint. But I think 30% to 35% inflation fits that category. So the management team has performed very, very well. We benefited from the increase in the amount of currency in circulation. And when you look at the U.S. dollar reported results, it gets into our - it hits our consolidated results. We have not had the magnitude of peso devaluation in the last year and a half to two years that we had previously. If you look back two, three years ago, as we were having local currency growth of 30%, 40%. We were having devaluations in the 30% to 40% range as well. So from a U.S. dollar standpoint, you weren’t seeing it in our consolidated results. We’ve only had about 10% devaluation year-to-date and with 50% to 60% local currency growth that’s going to give as much big a U.S. dollar impact and growth year-over-year.
Thomas Schievelbein: Yes, I think…
Jeff Kessler: Would you think - Okay. I’m sorry.
Thomas Schievelbein: It’s a good operation down there. And then, and it’s reflected in their results.
Jeff Kessler: Okay. So what you’re saying is from a competitive point of view, not - I mean, you’ve gotten better in Argentina, but there is ebbs and flows in all the countries in Latin America effectively.
Joseph Dziedzic: That’s correct. I would not characterize the growth in Argentina as taking significant market share from a competitive risk. It’s a well-run business benefiting from an inflationary environment, that they’re managing very effectively in.
Jeff Kessler: Okay. Great. Thank you very much.
Operator: Ladies and gentlemen, the conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.